Operator: Welcome to the Teekay Tankers Ltd.'s Third Quarter 2013 Earnings Results Conference Call. [Operator Instructions] As a reminder, this call is being recorded. Now for opening remarks and introductions, I would like to turn the call over to Mr. Bruce Chan, Teekay Tankers Ltd.'s Chief Executive Officer. Please go ahead, sir.
Ryan Hamilton: Before Mr. Chan begins, I'd like to direct all participants to our website at www.teekaytankers.com, where you'll find a copy of the third quarter 2013 earnings presentation. Mr. Chan will review this presentation during today's conference call. Please allow me to remind you that our discussion today contains forward-looking statements. Actual results may differ materially from results projected by those forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in the third quarter 2013 earnings release and earnings presentation available on our website. I will now turn the call over to Mr. Chan to begin.
Bruce Chan: Thanks, Ryan. Hello, everyone, and thank you for joining us. With me here in Vancouver is Vince Lok, Teekay Tankers' Chief Financial Officer; and Brian Fortier, Group Controller of Teekay Corporation. During today's call, I will be taking you through Teekay Tankers' third quarter earnings results presentation, which can be found on our website. Beginning with our recent highlights on Slide 3. Teekay Tankers generated an adjusted net loss of $0.05 per share compared to our adjusted net loss of $0.08 per share recorded in the second quarter, and cash available for distribution of $0.10 per share in the third quarter, up from the $0.07 per share in the second quarter. These increases were primarily due to stronger Aframax and Suezmax spot tanker rates earned in the third quarter, despite a heavier than normal drydock schedule, that saw 3 vessels drydocking for a combined 90 days during the quarter. In keeping with our current fixed dividend policy, the company declared a dividend of $0.03 per share for the third quarter, representing Teekay Tankers' 24th consecutive quarterly dividend, which was paid on October 25 to all shareholders of record on October 16. Teekay Tankers' dividend is currently fixed at an annual level of $0.12 per share payable quarterly. During this period of cyclical weakness in the tanker markets, we continue to focus on managing our fleet employment mix to ensure we preserve cover from fixed-rate charters, to support and provide stability to our cash available for distribution and cash dividend. During the third quarter, we extended a fixed time-charter contract on one of our Aframax tankers, the Kanata Spirit, for an additional year securing more fixed rate cash flow at a rate that is above the current spot tanker market average. This time-charter will enable Teekay Tankers' to maintain strong fixed rate cover of approximately 40% for the 12 months commencing October 1, 2013, and 35% for fiscal 2014. Compared to the averages for the third quarter, fourth quarter to date realized Aframax and Suezmax rates have been lower, while LR2 rates have been higher. Based on a weighted average of approximately 40% of spot revenue days booked, our fourth quarter Suezmax bookings have averaged approximately $10,800 per day, down from $13,800 per day in the third quarter. And our fourth quarter Aframax bookings have averaged approximately $10,400 per day, down from $13,600 per day in the third quarter. Based on approximately 60% of spot revenue days booked, our fourth quarter LR2 bookings have averaged approximately $14,800 per day, up from $12,500 per day in the third quarter. Turning to Slide 4, I will take a moment to update you on our term loan investments, secured by 2 2010-built VLCCs that we detailed during the second quarter earnings conference call. The table on this slide summarizes the latest status of the VLCC vessels that secure Teekay Tankers' VLCC mortgage loans, as well as a separate mortgage loan investment by our sponsor, Teekay Corporation. All of these loans are currently in default by the borrowers. During the second quarter, Teekay took over commercial and technical management of 2 of the 3 vessels: A Elephant, which is securing one of Teekay Tankers' loan investments; and C Elephant, which is securing Teekay Corporation's loan investment. Since Teekay took over technical and commercial management, these 2 vessels have earned positive cash flow, above their respective daily cash breakeven, including OpEx and interest expense, and have been actively trading in the VLCC spot tanker market. All amounts earned over Teekay Tankers' cash breakeven of $10,700 per day goes towards the recovery of the loan investment. At the moment, B Elephant remains under detention in Egypt following an incident, which took place under the management of the borrower. The ship's insurers continue to work with the authorities to negotiate a settlement to expedite the release of this vessel as soon as possible. Once this vessel is released, Teekay will take over commercial and technical management and trade the vessel in the spot tanker market with the other 2 ships. In the third quarter, Teekay Tankers recorded an additional loan loss provision of $10.4 million on its mortgage loans secured by A Elephant and B Elephant due to updated assumptions related to future earnings for the B Elephant, which is currently detained. The expected sale proceeds for both vessels, and estimated cost to realize on the collateral of these loans. However, based on the $24.8 million in cash interest payments received from the borrower to date, and considering the loan loss provisions we have taken, Teekay Tankers expects to earn an annualized rate of return of approximately 6.5% on these loans from the loan advancement date until recovery. In summary, while we work through the process with the borrowers, our plan is to trade the vessels taking advantage of the recent spike in VLCC spot tanker rates which are currently in excess of $30,000 per day, bringing us closer to realizing the value of the loan, while providing us with time to evaluate options on how best to realize our investment in the loans. Turning to Slide 5. I will provide a brief status update on the LR2 product tanker order from STX Offshore & Shipbuilding. As I mentioned during our second quarter conference call, due to financial difficulties, STX recently underwent a reorganization with its creditors and has so far failed to provide refund guarantees for the vessels we ordered in April of this year. This was a condition of our shipbuilding agreement. And as a result, we have not made any installment payments for the newbuildings. To preserve our rights under the shipbuilding contract, in October 2013, we exercised options to order 4 additional LR2 newbuildings under the STX contract. STX is also in default of these additional 4 ships, and it does not appear likely that they will meet their obligations to build these ships. We are currently evaluating our alternatives, including taking legal action against STX for damages. Turning to Slide 6, we take a look at the crude and product tanker spot markets for the third quarter. In the crude tanker market, the third quarter started out strong due to peak summer demand. However, continued reduction in the U.S. crude oil imports due to rising domestic production, the onset of fall refinery maintenance and reduced OpEx supply, all put downward pressure on rates through the latter half of the third quarter. During the early part of the fourth quarter, there has been an increase in VLCC rates driven by an uptick in Chinese stockpiling and increased refinery throughput, ahead of stronger winter demand. While Suezmax rates have began to recover from the Q3 lows as a result of the stronger VLCC market, renewed disruptions in Libyan production could result in continued downward pressure on Suezmax rates in the fourth quarter. In the product sector. LR2 tanker rates in the third quarter return to levels last seen in the first quarter of 2013 as a result of an attractive East-to-West gas oil arbitrage. Rates corrected slightly as the arbitrage closed, but remains steady heading into that middle of the fourth quarter. On Slide 7, we provide an outlook for seasonal crude tanker rates heading into the latter half of the fourth quarter of 2013. Crude tanker demand strengthened toward the end of the third quarter, with the onset of normal winter seasonal demand and increased refinery throughput, as refineries came back online after autumn maintenance. We expect that the usual winter weather delays will provide some upside support to rates towards the end of the fourth quarter, when tanker rates are typically strongest in the Northern Hemisphere, especially in December. Based on estimates from the International Energy Agency, global oil demand in the third quarter averaged 1 million barrels per day higher than the second quarter, and is expected to grow by an additional 0.7 million barrels per day in the fourth quarter. Potentially offsetting the seasonally higher tanker demand is the recent reduction in the call on OPEC, partially as a result of increased U.S. domestic production. U.S. seaborne crude imports averaged 5.2 million barrels per day during the first 7 months of 2013 versus 6.2 million barrels per day in 2012, representing an 18% reduction year-on-year. This is the lowest level of U.S. seaborne crude imports since 1991. As I noted earlier, this has already had an impact on the Suezmax sector in the form of weaker U.S. Atlantic Coast imports of West African crude toward the end of the third quarter. If this continues, the seasonal gains we expect could be tempered going into the fourth quarter. Looking at the overall market supply of uncoated tankers on Slide 8. The Aframax and Suezmax segments are both expected to experience limited fleet growth going into 2014 and 2015, as the current order book starts to come off and scrapping of older vessels picks up. Presently, the uncoated Aframax order book stands at 32 vessels or only 5% of the existing fleet, compared to the LR2 order book, which stands at 49 vessels or 20% of the existing fleet. In addition, a total of 120 Aframaxes are currently aged 15 years or older, with a further 50 vessels expected to reach 15 years by the end of 2015. As charters seek out newer vessels with the potential to provide greater fuel efficiency, older vessels are increasingly under pressure for scrapping. Factors such as the high cost of drydocking, combined with the cost of operations relative to potential returns in the current weak spot market have encouraged many owners to scrap tankers before the end of their typical useful life. As a result, we are currently forecasting the Aframax fleet to shrink by approximately 16 vessels in 2013 and 14 vessels in 2014. Looking at the global Suezmax fleet, although the segment is expected to grow by approximately 17 vessels in 2013 and 2 vessels in 2014, since many of the Suezmax vessels on order for 2014 and into 2015 are at yards currently struggling with financial and structural problems, expected fleet growth could be significantly reduced if those orders are canceled or are significantly delayed. In the bottom graph on this slide, the shaded sections on the bars for 2013 through to 2015, indicate the orders that are presently in question. And the dotted line indicates what the net fleet growth would be if those orders failed to deliver. Currently, the Suezmax order book stands at 54 vessels or 11% of the fleet. However, if we remove all of the at-risk orders, the total number of vessels on order drops to 38 or 7.5% of the existing fleet. As these charts demonstrate, fleet growth for both Aframax and Suezmax tankers is set to be lower in 2014 and 2015. Overall, the Aframax fleet is expected to shrink by approximately 2% in 2014 and 1% in 2015, while the Suezmax fleet is expected to only grow by 1% or less in both 2014 and 2015. Looking at the demand side. Global oil demand is currently expected to grow by 1.1 million barrels per day in 2014, compared to expected growth of 0.9 million barrels per day in 2013, which should translate into stronger tanker demand growth. When combined with lower fleet growth due to fewer deliveries and increased scrapping, we expect that crude tanker fleet utilization will improve in 2014 and should result in a gradual improvement in rates. Turning to Slide 9. Teekay Tankers remains financially sound. At September 30, 2013, Teekay Tankers had $226 million of total liquidity and the amounts were expect to recover on our VLCC mortgage loan investment will further add to Teekay Tankers' available liquidity. Our move to a fixed dividend policy in the first quarter will also enable us to retain a greater portion of our cash from operations as the market recovers, which can be applied towards future growth opportunities. In addition, Teekay Tankers benefits from a favorable debt amortization profile and low-principal repayments through to 2017. This enables us to retain a greater portion of our operating cash flow for future growth. Finally, our covenant-light debt facilities mean we have no covenant concerns and considerable financial flexibility. With that, operator, we are now available to take questions.
Operator: [Operator Instructions] And our first question comes from Michael Webber from Wells Fargo.
Unknown Analyst: This is Dominic Leon [ph] for Michael. So my first question is around the STX newbuilds. I know you mentioned that you exercised the options just as a way to preserve the rights in the contract. But is it indicative of maybe any optimism around eventually getting those guarantees?
Bruce Chan: It was more around preserving the rights. And as we said that they have not met the obligations under those options either. So that's why we are saying that it's unlikely that those ships will be built.
Unknown Analyst: Okay. That makes sense. And then, I guess, given that scenario, how -- I guess, how tight are your growth options to the STX order? Is there a way for you to gain any growth to the -- in the LR2 market outside of STX?
Bruce Chan: Yes. I mean, the STX orders were for LR2s. And what we've now had is a little bit of benefit of hindsight as we've seen in this year's order book for LR2 develop. When we order -- first placed those orders, there were less than 20 LR2s on order and now there's 50 or so. And so it's a sector that's becoming more finally balanced than -- and we'll have to look at other opportunities relative both in the LR2 area but in crude, which maybe have better economics going forward.
Unknown Analyst: Got it. And last question is just is there any time frame for Egyptian resolution?
Bruce Chan: No.
Operator: The next question comes from Jon Chappell from Evercore Partners.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Bruce, just to follow-up on that last question. So it sounds like you're maybe not going to pursue the LR2 growth initiative. But when you think about that pretty compelling slide that you have of the Aframaxes and the Suezmaxes and where asset prices are today, I would imagine you are going to return to a growth model at some point in the near future. Is that going to be newbuilds in those categories or we can maybe focus on modernizing your fleet in energy-efficient designs? Or would you want to get secondhand tonnage because maybe of the different return profiles of those assets?
Bruce Chan: Jonathan, I think that's the key question on the crude side is we've got to look at the newbuilding prices and the eco fuel-efficient designs relative to the what maybe even more depressed secondhand modern ships on the water, which we know through our technical abilities can eco refit a lot of those ships to narrow the gap between a newbuilding eco and a secondhand ship on the water. And so the math may very well favor on water assets going forward in our return to growth and renewing the fleet, Jon.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Okay. That's something you'll be kind of examining and maybe acting on in the near future?
Bruce Chan: That is something we are certainly looking at.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: And will you stick to your knitting with kind of a mid-sized crude tankers or would you -- it seems like there's a bit more interest now in VLCCs than most of the other asset classes? And maybe that worked to your advantage, but would you go kind of further along the asset class scale?
Bruce Chan: We'll certainly look at different ones, but our priority is still sticking to the knitting. We have the scale, and the commercial knowledge and customer relationships in those sectors. And as you can see, when you don't have a large scale in an area like on the VLCCs, you take a little bit more volatility in earnings. So I think preferring -- our preference is to stick to our core traditional segments of Aframax and Suezmax.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Okay. And one question on STX as well. I mean, it seems -- you didn't put any down payments down, so you're really not out-of-pocket anything, but you're going to potentially pursue damages. How do you kind of determine what does damages are? Is it what you missed out on marking those asset prices that you weren't able to lock in to market today? And realistically, what are your odds of recovering any damages, not just based on that claim, but also going against somebody who may not be the most liquid entity in the world?
Bruce Chan: Yes. I mean, to your first point on the valuation that's -- the legal experts have reviewed that and that's how they would calculate it. As for the likelihood, that's hard to say. I mean, I think, they are -- they went through a voluntary restructuring, so in some ways they've been recapitalized and they're still trying to build ships. So it's not like a shipyard that's gone completely out of business. But it's very hard to assess the likelihood of success in any of that type of legal claims. It's just hard to put a probability on that.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Okay. Then just one last one and I'll turn it over. Regarding the provision in the third quarter. What really changed? I mean, is it strictly the fact that Elephant B is still detained in Egypt? Because it seems like asset prices are going up, it seems there's a little bit more optimism about the market going forward and what you could potentially earn by operating those assets. And if that is the case, what's kind of the endgame here? You say you're going to operate these ships, but based on what you had just said, that's not really your core competency in as far as asset classes are concerned. You want to have both of them together so you can dispose of them in block or would you want to actually operate them for a little while?
Bruce Chan: I'll answer the last half of the question and Vince can answer the first part about the impairment. In terms of our long-term realization. Right now, I mean, rates are spiking and into the winter VLCC rates could be strong. And so we're looking for opportune times to recognize on that value. We're certainly not distressed sellers of assets. And so we will pick the right time to look to dispose of those assets. But then that also gives you capital to redeploy in your core areas. So it's really a -- it's a matter of most effectively deploying the capital as opposed to keeping these assets just because we happen to have them. And as we said before, the reason why we stick to our knitting is because we have the scale, but the correlation between the various asset segments are highly correlated. So we'd rather probably redeploy in areas that are core area business. As for the impairment, I'll hand that over to Vince.
Vincent Lok: Yes. Actually it's a loss provision, Jon, as opposed to impairment. And most of the $10 million is related to B Elephant, given its situation, given that it's still detained in Egypt and we're not able to generate cash flows towards our crude interest and all that. And we made some estimates as to what it would cost for us to get that ship out of Egypt and get it ready for trading and all of that. So most of that is related to B Elephant. And you're right about -- in terms of the VLCC sector, certainly, the rates have increased recently. And if they continue to do so and vessel values follow, that may change our estimates upwards in future quarters and part of that loss provision actually can be reversed. So it's different from vessel impairments where it's only one way, whereas loss provisions can go up or down.
Jonathan B. Chappell - Evercore Partners Inc., Research Division: Just one last quick follow-up for you, Vince. What's the assumptions in that provision as far as the release of the ship from Egypt? I mean, if it's still detained come February when you're reporting fourth quarter earnings, is there going to potentially be another provision or have you kind of kitchen sink that where it can only go in your favor that sooner that's released?
Vincent Lok: I think we've taken a fairly conservative approach when coming with this provision in the third quarter. And it hopefully captures all the eventual outcome of getting the ship out. So I'm not expecting any large -- further any large impairments, hopefully, next quarter. So hopefully, we'll get that ship released out of Egypt and start trading it fairly soon.
Operator: [Operator Instructions] And our next question comes from Ken Hoexter from Bank of America Merrill Lynch.
Ken Hoexter - BofA Merrill Lynch, Research Division: It's Ken Hoexter. Just on the ownership of the VLCC, the Chinese joint venture, the 50% ownership. If you would look to sell the contracted once you -- the Elephants, in terms of an improving market, would you look to unload the contract for the joint venture as well or is that core because it's under a 5-year time-charter so you want to just sit on the income for a while? Just understanding the mix of your comment on expertise versus the financial benefit of that.
Bruce Chan: Yes. I think that 2 are unrelated. The VLCC loans were at a period in the market where we were seeing cyclical weakness and we wanted to make fixed rate returns. And even with the latest impairments -- or sorry, loss provision, it still returns a very good kind of fixed income over that period. Whereas the transition into the walk -- the joint venture VLCC that's, as you say, a 5-year charter with some profit share components to as the market recovers. And so that was part of our strategic plan to have that type of exposure going forward. So the 2 are unrelated. We wouldn't look to dispose of the 50% JV VLCC.
Ken Hoexter - BofA Merrill Lynch, Research Division: If -- I guess to follow-on the questions before. If you're not looking at expanding the LR2 now, given what's going on in terms of the order book, would you look to -- if you entered the VLCC market, would it be through other joint ventures like this one or would you move upmarket? I know you said you've gotten expertise in the Aframax and Suezmax, so I'm just wondering is this year kind of toehold to get an expansion on that manner?
Bruce Chan: Yes. I mean, our expertise in Suezmax and Aframax, this is our commercial pools and ability to operate both our own ships and other people's ships. The VLCC, certainly, our joint venture partners is very good at VLCCs and they have a few in their on time-charter. And if there are other opportunities to grow there, we would certainly look at those. But it's not our core area of expansion.
Ken Hoexter - BofA Merrill Lynch, Research Division: Okay. I know you mentioned the switch to the STX. You mentioned you didn't have -- you didn't put anything down additional for the expansion. What are you out in terms of the down payments for the original?
Bruce Chan: Right. Just to be clear, we haven't put anything down for any of the orders.
Ken Hoexter - BofA Merrill Lynch, Research Division: Okay. So what was the, at this point then, what was the violation at the yard? Was there a progress they were supposed to make? Just understanding what, in terms of the first 4, what have been missed in terms of targeting at this point?
Bruce Chan: What they've missed on all of the orders in the first 4 was the refund guarantees. So before we made any installment payments, they were required to provide refund guarantees, which they have not been able to do.
Ken Hoexter - BofA Merrill Lynch, Research Division: Okay. And then lastly, you talked in terms of looking at the market overall, you talked about an increase of 1.1 million barrels per day. How much -- when you start thinking about local production versus seaborne oil and maybe a shifting, I guess, against you in terms of the tonne mileage. How do you step back and think about it tonne-mile changes over the last few years, given the shale development in the U.S.?
Bruce Chan: Right. I mean, certainly, the general trend over the last few years has been less, clearly, less U.S. imports. And then the question is where did the other OPEC oil go, is it West Africa, China which is the long haul? And China is still very positive on that. This month, I think they're now the biggest importer of oil in the world. They surpassed the U.S. imports. And so their growth story is really where the oil is going. And then going forward, you just see continued discussion around the impact of the shale oil but the potential for more product exports from the U.S., as well as potentially crude exports, because of the fact that there's just going to be too much oil and we need to connect the price of U.S. oil with the rest of the world. So that is kind of the longer-term tonne-mile story, it might be more exports from the U.S.
Ken Hoexter - BofA Merrill Lynch, Research Division: So when is this -- to wrap up then, there used to be a multiplier you put on in terms of oil growth turns into seagoing growth, and there was an x multiplier you put on -- that you used to put on tonne mileage demand. Has that -- have you shifted that kind of target number there?
Bruce Chan: No. We usually always have a range there. I mean, it wasn't ours, it was kind of what the analysts oil -- shipping analyst would put out there. And most of them have fluctuated within that range. So the fact that OPEC oil has been reduced has changed the multiplier and the actual oil demand. But not the multiplier itself, but what the multiplier is being applied against.
Operator: The next question comes from Jon Chappell from Evercore.
Bruce Chan: Jon might have already gone, I think. He already asked his questions.
Operator: The next question is from John Reardon from Crowell, Weedon.
John Reardon - Crowell, Weedon & Co.: Bruce, one of the things you mentioned in your release is that you were able to fix an Aframax at above market rates for an additional year. I'm just kind of curious, what allows you to do that? Is it because Teekay is a more reliable operator than some of the other people? Also, could you please comment on what you think the recent strength in VLCC rates have been? And finally, earlier this year, the Chinese announced the big expansion of their refining capacity. Is that still on schedule? There, I'm done.
Bruce Chan: I'm still writing down your questions. Okay, your first one on the extension. Above market rates, it is -- partly, our relationships and long term -- quality and relationships with those customers. It also has to do with being the incumbent ship and being something that is a known quantity to the customer. And so they're more willing to pay for that certainty and known ships, so there's that factor involved. And in terms of VLCC recent strength is largely due to Chinese stockpiling increased imports, again, this month becoming the largest importer of crude oil in the world. Other seasonal factors, as well as -- Saudi Arabia now are exporting more oil after their seasonal demand of their own internal usage has declined. So all of those things have resulted in stronger VLCC rates. As for Chinese refining capacity, the most -- it is on schedule. They have been -- were even more recently been reported to be having allowing more product exports, which has been helping the regional trade in that area in the short term. In the long run, it's so hard to predict what's going on in China. But so far, signs are that they are increasing their refining capacity and actual throughputs to meet their own internal domestic demand.
John Reardon - Crowell, Weedon & Co.: One follow-up question, Bruce. This morning, Ship Finance and Frontline announced that they're basically going to demolish 2 of their -- the older VLCCs in the Frontline fleet that Ship Finance had been leasing to them. When you look out on the universe out there, do you see more shippers in a position where they're going to have to start scrapping their ships? And secondly, do you see the banks, which have -- like the German banks, who have been kind of doing extend and pretend, do you see them having the kind of finally bite the bullet and say, okay hand it over? What do you think about that?
Bruce Chan: Sure. On the first question. Yes, we saw that report and that's obviously positive. As for them choosing to do it out of the -- because they want to help boost the market or because it's just pure economics, I think it's economics and everyone's facing it. The drydocking or special survey that's required at age 15 can be expensive. And weigh that off versus the 2 or 3 years that you have to recover that and the outlook for the market relative to scrapping prices, and it comes down to math. And so people are certainly -- who are doing the math, are incentivized to scrap or sell those ships for virtually scrap or send them to demolition, as you said. As for the banks and are they in the same position? They certainly are. As you said, it's amend and pretend and that's largely a result of denial. And bankers always sometimes don't necessarily see the costs that are coming up. So certainly, they face the same math as all the shipowners do. And that's going to cause more difficulties in terms of their loans when they need to come up with actual new capital to put the ships through drydock. So in some ways they may face an even tougher decision.
Operator: The next question comes from Justin Yagerman from Deutsche Bank.
Taylor Mulherin - Deutsche Bank AG, Research Division: This is Taylor Mulherin, on for Justin. I just want to ask you a question about OpEx. So I remember back -- looking back at Q2, it was a little higher than people had been expecting. And now here in Q3 it came in a little bit below what you had guided to. So I was kind of curious if you could give any color about what's driving the variability? And looking forward, what the best way for us to think about that is?
Vincent Lok: Yes. The vessel operating expenses did come in lower than expected in Q3, which was a nice pleasant surprise. Most of the variance really relates to timing of repairs and maintenance, and some of that maintenance is typically done, also, while the ships are in drydock, it's more cost effective. So the -- in Q3, we just -- we ended up just spending a little less than expected. I think for Q4, we do have 3 ships drydocking also in Q4. But I wouldn't expect the OpEx to return to the high levels of Q2. I think Q4 might go up a little bit from Q3, maybe between $0.5 million to $1 million, but that should be a pretty good rate to use.
Taylor Mulherin - Deutsche Bank AG, Research Division: Okay. Great. And then just kind of looking at the market in general, and this is a more of a near-term question. But when you talk about the strong Q4 ahead, you know it's already been pretty strong quarter to date, and so I was curious whether you expect that build to be on top of what's already happened particularly in the Suezmax market or kind of steady from here? Just -- I'm thinking about rates.
Bruce Chan: Yes. It's tough to say. I mean, the winter market usually doesn't materialize in December. So anything that's come on now has been just more early refineries coming back online. The Suezmaxes may benefit as we're seeing today with the stronger VLCC market from West Africa, East, that's having a knock-on effect on Suezmaxes. But also as we said in the prepared remarks, the Libyan reduction in production has had a negative effect on Suezmaxes. So it's really going to be the combination of those positive and negatives, so it's really hard to say what's going to happen there for the rest of the quarter.
Operator: [Operator Instructions] Mr. Chen, there are no further questions at this time. You may continue.
Bruce Chan: All right. Thanks, operator, and thank you, everyone. We'll speak to you next year.
Operator: Ladies and gentlemen, this concludes the conference call for today. We thank you for your participation. You may now disconnect your line, and have a great day.